Matt Glover: Good afternoon, and welcome to Aware's Third Quarter 2025 Conference Call. Joining us today are the company's CEO and President, Ajay Amlani; CFO, David Traverse; and CRO, Brian Krause. [Operator Instructions] Before we begin today's call, I'd like to remind everyone that the presentation today contains forward-looking statements that are based on the current expectations of Aware's management and involve inherent risks and uncertainties that could cause actual results to differ materially from those described. Listeners should please note the of the safe harbor paragraph that is included at the end of today's press release. This paragraph emphasizes the major uncertainties and risks inherent in forward-looking statements that management will be making today. Aware wish to caution you that there are factors that could cause actual results to differ materially from those results indicated by such statements. These risks and uncertainties are also outlined in the company's SEC filings, including its annual report Form 10-K and quarterly reports on Form 10-Q. Any forward-looking statements should be considered in light of these factors. You are cautioned not to place undue reliance on any forward-looking statements, which speak only as of the date made. Although it may voluntarily do so from time to time, Aware undertakes no commitment to update or revise the forward-looking statements whether as result of new information, future events or otherwise, except as required by applicable securities laws. Additionally, this call contains certain non-GAAP financial measures as the term is defined by the SEC and Regulation G. Non-GAAP financial measures should be considered in isolation from or a substitute for financial information presented in compliance with GAAP. Accordingly, Aware has provided a reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measures in the company's earnings release issued today. I would like to remind everyone that this presentation recorded available for replay via link available in the Investor Relations section of the company's website. Now I'd like to turn the call over to Aware's CEO and President, Ajay Amlani. Ajay?
Ajay Amlani: Thank you, Matt, and good afternoon, everyone. Q3 reflects disciplined execution and continued progress in a Aware's transformation strategy. This quarter, we delivered 33% year-over-year revenue growth while improving our bottom line. We recognize there's still important work ahead to build consistency and scale, and we expect near-term quarterly results may vary based on timing of customer decisions and license mix. These results reinforce our 3-pronged transformation, which centers on first: advancing core biometric technology with a focus on Liveness and the Awareness Platform; second, strengthening our science forward customer-obsessed go-to-market model; and third, deepening strategic relationships and partnerships and certifications that build trust and scale. Before diving into Q3 highlights, let me set some market context. As I shared at the Gateway Conference in September, customer perceptions around biometrics have fundamentally shifted, everyday use of face ID and biometric travel checkpoints has made biometrics both familiar and expected. In the age of AI, it's not only getting harder to prove identity. Individuals must also prove they're human in real-time against increasingly sophisticated stooping attempts. This elevates Liveness Detection from a nice-to-have into a critical control for fraud prevention and trust. Against this backdrop, our strategy is to meet customers where risk is rising most, delivering adaptive liveness, interoperable matching and a platform architecture that allows enterprises and agencies interoperable orchestration without vendor lock-in. Aware isn't just selling technology, we're delivering solutions that help customers maintain uptime while solving their most pressing trust and safety challenges. Aware is a U.S.-based company with 3 decades of biometric innovation and a blue-chip customer base across government and enterprise. That foundation of trust matters as buyers raise the bar on security, privacy and interoperability. And as governments increasingly emphasize domestic providers for critical identity infrastructure. On the government side, we see tailwinds from broader funding for biometric modernization within DHS agencies coupled with a strong Buy American orientation, having helped launch some of the earliest biometric programs at DHS, I've seen firsthand how federal adoption sets global standards and Aware is uniquely positioned to lead as a U.S.-based science-led provider. On the commercial side, enterprises are moving to anchor digital identity on a biometric backbone with strong privacy controls, replacing fragile combinations of passwords and device trust with biometric proof of presence and proof of person. Our platform is designed for choice, speed to value and standards alignment, a differentiator that customers and partners increasing value. Our Awareness platform integrates matching engines, adaptive liveness and anti-spoofing and interoperability layers to deliver flexibility at scale. Earlier this year, our Passive Liveness achieved best-in-class performance in the Department of Homeland Security remote identity validation benchmark, providing clear third-party validation that we're solving real-world identity fraud with less friction. In October, our face verification stack, combining advanced liveness with facial matching, earned FIDO Alliance Certification. This is 1 of the most rigorous global benchmarks in biometric security. It not only validates our approach but also reduces compliance friction in enterprise procurements and accelerates integrations with major partners and identity ecosystems. It also complements our road map to build additional certifications that customers expect. Over the past several quarters, we've upgraded leadership across revenue, marketing and product, aligning the organization to scale with discipline. We are focused on prioritizing large durable opportunities in federal and the enterprise market that can translate into multiyear recurring revenue and product leverage. With this team in place, we are executing across 2 core markets. First, government, building a direct presence with agencies, aligning to Buy American requirements and modernization initiatives across the Department of Homeland Security, the Department of War and many other related programs in departments where liveness and interoperability are central. Growing demand for mobile identity and modernization of legacy systems plays directly to our ABIS and mobile capture strengths. Second, commercial enterprises, companies are adopting biometric-anchored journeys for both workforce and customer use cases, emphasizing privacy, standards and interoperability all well aligned with our Awareness Platform and AwareSDK. Our strategy is translating into both top line momentum and better operating discipline. I'll now hand it over to David to review our third quarter financial performance in more detail. Over to you, David.
David Traverse: Thank you, Ajay. I'll now walk through our third quarter financial results. Revenue in the third quarter was $5.1 million, an increase of 33% year-over-year. The increase was primarily driven by a $1 million perpetual license expansion sale with an existing customer and a $600,000 new term license contract, partially offset by typical fluctuations in perpetual license and lower services and other revenue. Operating expenses for the quarter were $6.4 million compared to $5.4 million in the prior year quarter. The increase reflects targeted investments in sales, marketing and product development as we execute our go-to-market strategy. Looking ahead, we do expect an increase in our operating expenses in the fourth quarter, reflecting the full quarter impact of the investments made during the third quarter to support our growth strategy. Net loss for the quarter was $1.1 million or $0.05 per diluted share, an improvement compared to a net loss of $1.2 million or $0.06 per diluted share in the prior year quarter. Adjusted EBITDA loss was $800,000, an improvement compared to a loss of $1.1 million in the prior year quarter. Turning to our results for the first 9 months of 2025. Revenue was $12.6 million, similar to last year. Net loss was $4.4 million or $0.21 per diluted share compared to a net loss of $3.2 million or $0.15 per diluted share in the same period last year. Adjusted EBITDA loss year-to-date was $3.8 million compared to an adjusted EBITDA loss of $3 million in the prior year period. We ended the quarter with $22.5 million in cash, cash equivalents and marketable securities and no debt. The change primarily reflects the operating loss for the period as well as normal fluctuations in working capital, including the timing of accounts receivable collections. Our balance sheet provides us with flexibility to continue investing in growth while maintaining a disciplined approach to expenses. Our Q3 results reflect progress towards sustainable growth. We are executing with discipline, scaling revenue and positioning the company for operating leverage as our top line continues to expand. With that, I'll hand it over to Brian to provide more color on our product, customers and go-to-market progress.
Brian Krause: Thank you, David. Building on the strong financial results, I'd like to provide more details on the customer and go-to-market side. We continue to see diverse demand for biometric solutions across both government and enterprise sectors. Organizations are under pressure to not only authenticate identities but also to ensure that users are live and present without adding friction. That combination, security plus usability is where Aware has the opportunity to win. We are also seeing growing demand in the local government sector with focus on modernizing biometric systems for civil and criminal investigations. In the third quarter, we expanded our work with a major U.S. federal agency by adding our Intelligent Liveness to a previously successful program. This builds on days of trust Aware has established in government and underscores our ability to bring new technology into mission-critical programs. Overall, federal demand continues to grow as a result of the new priorities at the federal level that have created both new and expansion opportunities for biometric solutions within these programs. However, the federal shutdown has slowed these actual appropriations which means that some of these programs will likely see delays until that is resolved. On the commercial side, we secured new enterprise contracts and financial services and workforce management sectors where customers are looking to reduce fraud and streamline onboarding. These deployments highlight the flexibility of our platform to integrate into existing identity ecosystems, support multiple modalities and deliver high-performance biometric capabilities. These contracts also represent solid progress in our land-and-expand approach. Over the past 6 months, we've continued to make progress in strengthening our pipeline and partner ecosystem as well. Our direct federal team is engaged across multiple U.S. and international government programs, and our partner strategy is helping us scale without an overinvestment in a direct sales force. These investments in expanding and establishing relationships with system integrators and technology partners not only validates our tech but also extends our reach into larger enterprise and government track vehicles are key buying criteria. We continue to see strong customer retention and growth opportunities and expect this to continue for the rest of this year. Looking forward, our go-to-market priorities are clear. Within the U.S. federal government deepen our direct engagement across all agencies, while aligning with the Buy American requirements. On the commercial side, expand in fraud-prone verticals in areas where biometric adoption is growing such as financial services and travel. On the partner side, broaden our ecosystem of system integrators, identity platforms and device partners to accelerate adoption and scale across the globe, aligned tightly with our customers. Most importantly, continue to deliver great products as they grow their use of biometrics to protect and automate their businesses. Our customers and partners consistently tell us that Aware stands out for combining science-driven innovation with enterprise-grade delivery. That's a differentiator that is working effectively and one we intend to continue building on. With that, I hand it back to Ajay for closing remarks and the outlook before Q&A. Ajay?
Ajay Amlani: Thanks, Brian. As you've heard today, Aware is executing on a clear strategy, delivering trusted biometric solutions that combine adaptive liveness, best-in-class interoperability and enterprise-grade performance. These capabilities are not just differentiators. They are becoming requirements in a world where fraud is accelerating and digital identity is central to every interaction. Looking forward, we are focused on prioritizing large durable opportunities in federal and enterprise that can translate into multiyear recurring revenue and product leverage. That means driving deeper adoption within DHS and other federal agencies, sometimes directly and sometimes through value partners as biometric modernization accelerates. Expanding in enterprise verticals, where identity, fraud and compliance costs are highest, financial services, travel, workforce management. And finally, continuing to build the certifications, integrations and partnerships that reduce adoption friction and extend our reach. We believe this strategy positions Aware to deliver not just growth but sustainable value creation. As we scale, you should expect to see increasing operating leverage, stronger recurring revenue contributions and a disciplined balance between innovation and profitability. I'm proud of the progress our team is making and the validation we're seeing from customers, partners and industry benchmarks. With 3 decades of biometric leadership, a strong foundation of trust and a clear strategy, we believe Aware is positioned to lead in this next era of digital identity. That concludes our prepared remarks. We'll now open the call for questions. Matt, please provide the instructions.
David Traverse: Good afternoon, everybody. Before we move to Q&A, I just want to note that Ajay is traveling back from the Money20/20 Conference. His return flight was delayed and there may be some airport noise in the background as we answer questions.
Matt Glover: Thanks, David. [Operator Instructions] Our first question is for David. Q3 revenue grew 33% year-over-year, but was flat year-to-date. Can you elaborate on the drivers of that variance and how investors should think about the sustainability of that top line growth in 2026?
David Traverse: Yes. Thanks, Matt. So we're striving to build a more sustainable revenue model, but we still have a meaningful license component business that the timing can create some variability. The strong year-over-year growth in Q3 shows that demand is there, but the flat year-to-date trend reflects the timing dynamic. With the management changes that we made this year, we really are sharpening our focus on driving more recurring and predictable revenue. So over time, you can expect smoother results and a more consistent growth.
Matt Glover: Thanks David, another 1 for you. You mentioned that quarterly results may fluctuate based on the timing of customer decisions and license mix. Can you give more color to the pipeline conversion patterns? How much visibility you have in the near-term deals and recurring revenue contribution?
David Traverse: Yes. Thanks again, Matt. It's kind of similar to the other question. With the new management team, we really put a stronger emphasis on building a disciplined go-to-market engine and improving how we are able to forecast and manage the pipeline. What we're really seeing is healthy engagement and good visibility into opportunities, though the timing of customer decisions can still affect the quarterly results. As our process matures and the team gains traction, we do expect to be able to see more consistency and better conversion across the pipeline over time.
Matt Glover: Thanks, David. Next question is for Ajay. Ajay you called out the federal budget delays and shutdown impacts on appropriations. How significant has that been the near-term bookings? And are those revenues expected to shift into FY '26?
Ajay Amlani: Yes. The government shutdown has impacted businesses across the board. And most -- I feel most sorry for obviously, the people that are furloughed. Those individuals are going through a very difficult time now trying to sustain their livelihoods and pay the rent, pay for their families daily expenses. For us, there is an impact to near-term bookings. However, most of the conversations are still occurring. And we would expect to see all of that money still flow and a higher urgency to be able to deploy that budget coming through in the near term. So we anticipate significant volume of deal flow and conversations once the shutdown is over. The total amount of budget allocated is still going to remain the same and the urgency to deploy the capital, to improve the systems, the antiquated systems of the federal government on the identity system is still going to have a very high sense of urgency.
Matt Glover: Great. Thanks, Ajay. Another 1 for you. As enterprises move towards biometric anchored digital identity, who do you view as your primary competitors in the space? What differentiates Aware's Awareness platform technically and commercially?
Ajay Amlani: Sure. From a competitive set, on the Awareness platform in particular, I'll [ think ] of the platform first. This is very much a buy versus build competitive set. So with regards to existing large enterprises looking to try to deploy biometrics at scale, our largest competition is actually internal development and a desire to be able to add and own your own platform and continue to increase and modernize its capabilities. What we see is significant overlap between all of these different companies that are looking to try to build these types of platforms and that they would turn to a model where economies of scale will help them to save money and increase capacity and capability much faster through an outside vendor such as Aware. With regards to the individual components and the products that we actually serve and develop internally, there are other competitors in the market that develop different styles of biometric capabilities with different strengths. Those partners are -- those companies are, in fact, partners for us in the Awareness platform. while we still have an element of competition when it comes to proving who's best at which component of the technology overall. What's most important for us is that customers get the best [indiscernible] in the market to serve their individual needs and their use cases so that they have [ plausible ] experiences for their consumers, for their customers and secure experiences. And that could be different in a physical environment, as you can imagine, in an airport environment, in a border environments, those styles of biometrics and types of biometric technologies that you would deploy in those environments will be very different than the style of technology that you would deploy over people's mobile devices to be able to onboard into a financial services product remotely, which will be very different than the style of product that you want to use on a desktop computer, allowing a workforce application to protect, let's say, new hires or password resets to secure your enterprise against the largest vulnerability today in cybersecurity attacks, which is password compromises. So the different components of biometric technology. We go into it at Aware knowing we can't be the best at everything. So we select the specific components that we believe we'd like to be the best in, that are the most important and also that we have the capability of being the best in. And we look to partner with others who we feel in certain use cases are the best technology for our customer base.
Matt Glover: Thanks, Ajay. Another 1 for you. How do you prioritize new certifications like ISO or FedRAMP in your road map? And are there any gating factors for certain federal or enterprise contracts?
Ajay Amlani: ISO FedRAMP and other certifications, such as the FIDO Certification that we most recently announced are incredibly important certifications for customers to pay attention to, to require in their RFP processes when they're looking for vendors, to request vendors to adhere to and to continue to push the envelope with the certification organizations to protect their enterprises against the most modern threats that are in the market. And there are quite modern threats in the market. Cybersecurity attackers continue to get better. They continue to collaborate using commercial tools and a worldwide attack vector. Nation state actors are continuously trying to penetrate the most critical assets of our country. And as a nation and as a globe, we need to come together to have a unified set of standards to hold vendors accountable to continue to be able to communicate the importance of protecting them against things like liveness or generative AI deepfake attacks that basically can impersonate other people online through video calls, through voice calls with very minimal sophisticated tools. You can imagine with sophisticated tools in the hands of attackers, what they can do is quite dangerous. So pushing the envelope and staying ahead of the attackers with certifications that can push the vendors beyond what they have today to better protect our customer systems is what we actually here at Aware advocate for daily. We're talking to all the different testing organizations globally. We're pushing them to address better standards to understand how to protect against digital injection attacks and other extremely important vectors of attack that need to be secured, but doing so in a standardized fashion so customers know that if a vendor comes to you saying that they're the best in the market at something, they have proof to back it up. So we will continue to invest in these different standards. We'll continue to advocate to customers and to the actual certification organizations to push the envelope to become better because we at Aware, view ourselves as a premium provider of biometric systems, the best in the market with the best depth of technology and expertise to protect against these next generative -- next-generation generative AI attacks where the only way to determine if somebody is a human and the right human in a digital environment is through the utilization of biometrics.
Matt Glover: Thanks, Ajay. Our next question is for David. David, operating expenses rose due to investments in sales, marketing and products. How should we go about expense levels and operating leverage in FY '26 as revenue scales?
David Traverse: Yes. Thanks, Matt. So yes, so operating expenses as expected and as we kind of mentioned last quarter, did increase as we invested in the sales and marketing and go-to-market and product positioning for the company growth. And we will continue to invest there when we see a clear line of driving top line revenue expansion. When the opportunity is there, we'll lean in and invest and accelerate growth so -- while also keeping a disciplined focus on efficiency.
Matt Glover: Ajay, can you share any color on the national ID contract?
Ajay Amlani: Sorry. But at this point in time, we're not in a position to be able to share any color on the national ID contract other than what was already shared. We are still in a position where we want to be able to pursue global business through partners in such a way that we can make sure that we can cover the globe and the needs of all countries with our identity needs, but focus our resources specifically towards direct conversations that we have here in the Americas. So we're spending the majority of our resources here on the Americas, North America in particular, given our domestic focus, given our large base of U.S. citizen biometric scientists and given the desires and the demands here in the market, along with the larger scale here in the market. But we believe that national ID program not to be ignored, but rather addressed. So we're constantly looking for the best partners in the market. And I would encourage any partners globally looking to work with countries to advance their national ID programs to better secure the needs of their citizens and residents to be able to increase their access the federal government benefit systems, whether it's United States or globally to reach out to our partnership team here at Aware and be able to encourage them to choose best-in-class technology with a partner they can trust that will have their backs in the global fight against nation state actors that are doing bad things.
Matt Glover: Thanks, Ajay. We received another question for you. Has Aware considered enabling interactions with smaller platforms?
Ajay Amlani: That's a great question. I would love to have a little bit more color and a little bit more follow-up with [ them ] after to specifically address which smaller platforms that they're requesting and talking about. But as we've went through the years, smaller platforms can grow very quickly in this economy. And we've seen if you have the right team, the right investor base and the right customer relationships and the right product, pretty expansive scale. So while most companies are only choosing to be able to work with the largest partners in the market, the ones that have raised the $200 million to $400 million to deploy identity systems and identity verification capabilities, we are also paying attention to the smaller vendors in the market and the smaller partners in the market. But we are prioritizing the ones that we believe have the most opportunity for scale based on the management team, based on the customer contacts, based on the products that they have and the capabilities for scale because we can't serve and be everything to everyone. So a prioritization process and the vetting process ahead of time is extremely important for us so that we can align resources effectively and better serve our partners and enable them for the kind of growth that they deserve.
Matt Glover: Thank you, Ajay, David. At this time, this concludes our question-and-answer session. If your question wasn't answered, please e-mail Aware's IR team at awre@gateway-grp.com. Before we conclude, I'd like to remind everyone that a replay of today's call will be available via link in the Investor Relations section of Aware's website. Thank you for joining us for Aware's Third Quarter 2025 Conference Call. You may now disconnect.